Operator: Ladies and gentlemen hello and welcome to the ACCO Brands Q3, 2022 Earnings Conference Call. My name is [Maxin] and I will be coordinating today's call. [Operator Instructions] I will now hand over to Chris McGinnis, Senior Director of Investor Relations to begin. Chris please go ahead when you are ready.
Chris McGinnis: Good morning, and welcome to ACCO Brands third quarter 2022 conference call. This is Chris McGinnis, Senior Director of Investor Relations. Speaking on the call today are Boris Elisman, Chairman and Chief Executive Officer at ACCO Brands Corporation; and Deb O'Connor, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. When speaking about our results, we may refer to adjusted results. Adjusted results exclude transaction, integration, amortization and restructuring costs and non-cash, goodwill impairment charge and change in fair value of the contingent consideration related to the PowerA earn-out and other non-recurring items and reflect in adjusted tax rate. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in the earnings release and the slides that accompany this call. Due to the inherent difficulty in forecasting and quantifying certain amounts, we do not reconcile our forward-looking non-GAAP measures. Forward-looking statements made during the call are based on the beliefs and assumptions of management based on information available to us at the time the statements are made. Our forward-looking statements are subject to risks and uncertainties and our actual results could differ materially. Please refer to our earnings release and SEC filings for an explanation of certain of these risk factors and assumptions. Our forward-looking statements are made as of today and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now, I will turn the call over to Boris Elisman.
Boris Elisman: Good morning, everyone. Thank you for joining us. In mid October, we issued a press release updating our third quarter and full year outlook, highlighting the fact that the third quarter proved to be more challenging, given the economic environment, especially in Europe, and more cautious inventory replenishment by retailers. Last night, we issued our third quarter results, reflecting sales at the midpoint and adjusted EPS at the high end of our guidance with our full year outlook unchanged. Let me start by saying the solid fundamentals of our business are intact. And we believe we have the right strategy and team to weather the economic challenges and deliver sustainable organic revenue growth once the economy improves. The transformative actions we've taken over the past few years to be more consumer centric and geographically diverse, has helped us maintain a global market share in 2022. There were many positives in the quarter. We had a solid back to school style throw in North America. Our five star brands grew sales and market share in the back to school season and outperform the overall market in dollars and units. Sales of our commercial products have benefited from return to office trend, especially in North America, where office occupancy rates continue to improve and have recently reached a post pandemic high. Our Kensington brands and computer accessories category grew double digits globally in the third quarter and the year-to-date. Our international segment grew comparable sales over 30% in almost double adjusted operating income in the third quarter as in person education returned in Brazil and Mexico. These successes were more than offset by a more cautious stance than anticipated from retailers at inventory replenishment and reduced sales of gaming accessories in North America as well as reduced demand from a challenging environment in Europe. In EMEA, the significant high inflation why Ukraine current energy crisis in the stronger U.S. dollar have weighed on consumer sentiment leading to sales and profit shortfalls. In addition, lower sales volume has resulted in stranded fixed costs in our manufacturing facilities. To counter the high rate of inflation in the region, we will be implementing our fourth round of price increases over the last 18 month on January 1, 2023. In addition, we have reduced variable labor costs and discretionary spending in response to lower demand and are looking at structural cost reduction initiatives to be implemented in 2023. While the third quarter sales environment was challenging in EMEA, both computer accessories and gaming accessories continued strong comparable sales growth trajectories in that market and combined were up low double digits percent in the quarter and year-to-date. As we look out to 2023 we're still on track to expand our gaming accessories initiatives to strengthen EMEA growth profile.  In North America, with continued strength in back to school, and return to office trends will more than offset by retailers more cautious inventory replenishment and lower sales of gaming accessories. The North American margin rate in the third quarter was negatively impacted by expense deleveraging from the volume declines and higher inflation related to finished goods, inbound freight and outbound transportation. These costs are currently elevated, but are beginning to moderate. We expect higher commodities and freight costs to flow through the P&L in the fourth quarter. While we believe that the overall product inflation in North America has peaked, there are certain commodities that will stay at higher levels in the near and medium term. Regarding our video game and accessories category, we'll continue to believe in its long term growth opportunities, which will increase our organic growth rate as we expand our product assortment and accelerate growth in our EMEA and international segments. Third quarter sales sequentially improved, but are still down from the pandemic high up prior year. We continue to hold a leading market share position in the third party gaming accessories controller market and have increased our market share position in 2022. Highlighting the strength of the product assortment, placements, and powerA brand. Beginning market is in the midst of a normalization from the high demand relating to the pandemic. The market continues to be challenged by the lack of semiconductor chips, which inhibit new console production and the availability of some gaming accessories. We now expect gaming accessories to be down approximately 15% for the full year, which is at the lower end of our previous expectations. Our longer term expectation is for sales in this final category to return to prevent any industry growth trends, which historically were at low double digit growth rates. While ACCO brands is not immune to the current economic environment, we have the right strategy and an experienced management team to navigate these challenges. We've been aggressive with our pricing and cost actions. While continuing to invest in our product development and go to market initiatives. We expect the environment are being challenging and our currently evaluating other cost reduction initiatives, including our geographic footprint, and facility rationalization projects. We hope to share more details with you on these initiatives on our fourth quarter quality in February. Additionally, we remain confident in our transformation to drive sustainable organic revenue growth and are well capitalized with no debt maturities until 2026, fixed interest rates for all the half of our outstanding debt and low annual interest costs. We have taken actions to protect profitability and free cash flow by curtailing hiring, reducing inventory, and limiting discretionary spending and capital expenditures. Importantly, our third quarter cash flow generation was significant and we prioritize dividend payments and debt reduction. We're also amended our bank debt covenants to provide greater flexibility, which combined with a company's strong cash flow generation to allow ACCO brands to successfully navigate the current economic environment. I will now hand it over to Deb and we'll come back to answer your questions. Deb?
Deb O'Connor: Thank you, Boris. And good morning, everyone. Our third quarter 2022 reported sales decreased almost 8% as foreign currency was a 6% headwind in the quarter. Comparable sales were down 2%. The decline was due to lower volumes in our EMEA and North America segments offsetting strong growth in our international segments. Adjusted operating income was $43 million compared with $57 million last year. Adjusted net income was $24 million compared to $32 million in 2021 and adjusted EPS was $0.25 versus $0.33 in 2021. In the third quarter, we took a non-cash goodwill impairment charge of $99 million. We had a significant amount of goodwill on our balance sheet from previous acquisitions, such as need, GDC and [indiscernible]. This charge represents less than 15% of the overall goodwill balance. Given our stock price, the company's market capitalization is low, which triggered a review of our goodwill. The charges reflected in our North America segment, which carries a significant portion of our total goodwill. Inflation was more of a headwind than we had previously anticipated, which is why our gross margin and operating income declined were more significant than our sales decline. Given a lower sales overall, we are experiencing fixed cost deleveraging in our facilities, while inflationary costs are beginning to come down, their landing effects in our P&L will continue to impact their gross profit to the end of the year, but should improve as you progress through 2023. Third quarter adjusted SG&A expenses were $95 million, compared with $101 million in 2021. Primarily as a result of cost savings and lower incentive compensation accruals and the positive benefit of FX partially offset by continued investment in our go to market program. Adjusted SG&A expense as a percent of sales was 19.5% above last year's 19.1% due to lower sales. However, year-to-date adjusted SG&A as a percentage of sales was down 40 basis points. Our near term SG&A target remained at 19.5%. Now let's turn to our segment results for the quarter. Tangible net sales in North America decreased 10% to $259 million. The decrease was due to lower inventory replenishment by retailers and volume declines in gaming accessories. As previously discussed, retailers purchased earlier in the year than typical to ensure product availability. Beginning in the third quarter, retailers inventory replenishment was significantly less than anticipated. We performed well in the U.S. back to school season with approximately 10% comparable sales growth. Back to school sell through was up 4% outpacing market growth of 1%. North America adjusted operating income margin decreased due to higher cost of finished goods and specific commodity materials and higher inbound freight and outbound transportation costs that were not adequately offset by price increases. Just like EMEA North America will be implementing another round of price increases on January 1 of 2023. Now let's turn to EMEA. Net sales were down 19% to $130 million, primarily reflecting adverse effects. Comparable sales were down 4% to $154 million, mainly due to volume declines, offsetting our price increases. In Europe, the current energy crisis and significant inflation have created some more challenging demand environment. The energy crisis is expected to worsen this winter and we expect consumer sentiment to remain low through the end of this year and into 2023. EMEA posted lower operating income and margin from the lower sales volume, which led to under utilization of our manufacturing facilities, and therefore deleveraging of fixed costs. Boris referred to a review of our manufacturing footprint, which we are undertaking now. Price increases have not been large enough to offset accelerated inflation generally, especially for locally sourced raw materials. However, we are making sequential progress on the price cost differentials, and we accept their January price increases to meaningfully mitigate the overall impact of these inflationary cost increases. In addition to allow for more frequent price changes, we are renegotiating several customer contracts. Moving to the international segment. Net sales increased 26% and comparable sales rose 31%. We were encouraged to see volume contributing more than price to the increase. This growth was driven by improved demand in Latin America, especially in notetaking products at schools and businesses continue to return to in person education and work. International segment posted high adjusted operating income and adjusted operating margin as a result of higher sales and improved expense leverage. These improvements were driven by the rebound in Mexico and Brazil. Switching to cash flow and balance sheet items. In the quarter, we generated $84 million in adjusted free cash flow. Year-to-date, we had a $12 million use of adjusted free cash flow, which reflects our seasonality. Sequentially inventory was found $40 million from the second quarter, but remained high due to inflation and lower than expected third quarter sales volume. Our accounts payable balances are relatively low, as much of our inventory was purchased earlier in the year, and payments for those goods are made by quarter end. As we bring inventory down, we should shift into a more normal payables balance. We announced an amendment to our bank credit agreement, which increases the maximum consolidated leverage ratio beginning with the fourth quarter of 2022 and favorably and then several other items. The increase in the consolidated leverage covenant up to five times allows for greater financial flexibility and headroom for the company during these challenging economic times. The amendment is matching our interest rate pricing grid. We ended the quarter with a consolidated leverage ratio of 3.9 times. We expect that ratio to be approximately 3.8 to 3.9 times at year end. Longer term, we are still targeting 2 to 2.5 times. CapEx year-to-date was $12 million. We also pay dividends of $22 million year-to-date and repurchased 2.7 million shares of stock in the second quarter for $90 million. At quarter end, we had $417 million of remaining availability on our $600 million revolving credit facility. As shown on our earnings slides more than half of our debt is fixed and not impacted by interest rate increases, and we have no maturity until 2026.  Turning to our outlook. We are reaffirming our guidance presented in October for sales, adjusted earnings per share and adjusted free cash flow. For the full year our outlook is comparable sales to be flat to up 2%. I think this demonstrates the progress of the transformation and portfolio shift and resilience of the company in a really tough economic period. We also expect foreign currency impacts to remain a headwind with a 4% to 5% negative impact on sales, and $0.05 negative impact on adjusted EPS. Full year adjusted EPS is expected to be in the range of $1.05 to $1.10. The adjusted tax rate is expected to be approximately 29%. Intangibles amortization for the full year is estimated to be $42 million, which equates to approximately $0.31 of adjusted EPS. We expect our adjusted free cash flow to be within a range of $90 million to $100 million after CapEx of $15 million. Looking at cash uses for the remainder of 2022 we expect to continue to prioritize dividends and debt reduction. We have been chasing inflation for the last 18 months. We expect sequential adjusted gross margin improvement in the fourth quarter, but gross margins will be down versus the prior year. The additional price increases in January, along with our cost savings initiatives will get us further to our long term adjusted gross margin of 33%. This is an ongoing challenge due to the magnitude and persistence of inflation. Sales in October continued to reflect significant inventory is backing retailers with their cautious approach to replenishment. Given this trend, and the likelihood that it continues, we will be tracking to the midpoint of our 2022 sales and adjusted EPS outlook. Even now we expect certain areas of our business to achieve growth in 2023, and many of our brands to maintain or increase market share. If the macro environment continues in the current state, we expect our overall volumes will decline. However, this decline is expected to be fully or partially offset by price. 2023 should look differently than 2022 from a cadence perspective and more similar to 2021 when resellers were conservative with their inventory. In fact, we expect first half 2023 comparable sales to be approximately at 2021 levels less than negative impact of adverse effects of around $30 million a quarter. We expect through your gross margins to expand and for SG&A to remain at our 90.5% rate in 2023. We expect full year free cash flow to grow compared to 2022 driven by the improved profitability, and a more normal working capital cycle. We will provide additional details in February when we report our annual results. Now, let's move on to Q&A. Boris and I will be happy to take your question. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Joe Gomes from Noble Capital. Please go ahead, Joe. Your line is now open. 
Joe Gomes: Good morning. Thanks for taking the questions.
Boris Elisman: Good morning, Joe.
Joe Gomes: So just wanted to get maybe a little deeper dive into the outperformance of the international segment. Is this all just related to the rebound in Mexico and Brazil? Or how are these the other parts of the international segment performing?
Boris Elisman: It's being led by very strong performance in Brazil and Mexico as both of those countries have rebounded from a couple of years of COVID. Schools are open. Offices are open. And we're seeing very strong business for back to school in Mexico, and in preparation for back to school and just office business in Brazil. If we look at outside of those two countries, Chile has done well. It has grown mid to high single digits in the quarter. And then Australia is recovering. They had a very tough first half of the year with a lot of COVID cases in Australia, but still a small growth in Q3. In Asia is still difficult. It's a small part of our business. But we are seeing some sales decline in Asia just driven by weaknesses due to zero COVID policies in many of those countries and just the week macro in Japan.
Deb O'Connor: And the next segment done very well in passing price to offset the inflation mixing as well.
Joe Gomes: Okay. Thanks for that. And on inventories. You guys talked a little bit about how you've built it in anticipation. They've come they came down somewhat in the third quarter. How much more do you think you've got to come down there to be where you'd like to be in terms of the inventory levels?
Boris Elisman: We still have ways to go. We are pleased with the progress that we've made through the year. We build a lot of inventory last year in the second half pregnant by supply chain difficulties, and that we started picking it down earlier this year. We wish we could have done more by doing slower sales, low volumes in Q3 was still a little bit high. So my anticipation as we'll still make significant progress in the fourth quarter and really come end of this year early next year, we'll be in the normal working capital cycle of the supply chain issues of pretty much behind that so there's not a reason to hold more inventory than we need to come end of this year. And once we're normalized we'll be able to go with a normal working capital cycle in 2023.
Deb O'Connor: Yes, that's right, you just Joe don't forget high inflation 10%, 11% is also on those inventory balances if you just think about the level.
Joe Gomes: Right, right. Okay. And one more if I may. A lot of companies have talked about the difficulty in the hiring and retention environment. Just wondering how you guys are finding your ability to hire people and/or retain people that you're you want to retain?
Boris Elisman: We haven't had any issues. We saw a little bit of a pickup and attrition last year '21 in the summer, this year has been running pretty flat. And it's still a very competitive market. But we're not having difficulties even with attrition or with hiring people.
Joe Gomes: Great. I'll get back into queue. Thank you.
Boris Elisman: Thank you, Joe.
Operator: Thank you. Our next question comes from Greg Burns from Sidoti. Please go ahead, your line is now open. 
Greg Burns: Good morning. With the EBITDA covenant flexibility with the new amendment, going to five times. What do you foresee like where do you foresee leverage kind of peaking here given the current outlook? Do you feel like you're going to rise to that level and work down from there? Or how should we think about leverage going forward?
Deb O'Connor: Yes. So, Greg, as I talked about fourth quarter this year we're going to be in that 38, 39 and the new ratio, that kind of 4.5. So that kind of 50, 60 basis point differential would be as we work out, kind of a lowest point or the highest point, lowest point, differential. And we really got it to get more headroom for next year as we go into this uncertainty, but not worse than kind of a 50 basis point spread. If that's what you're looking to. Yes.
Boris Elisman: So we don't we don't expect to get to five we don't expect to now – [indiscernible] flexibility and headroom given the uncertainty and the environment. Typically, our leverage peaks in Q2 as we build inventory for back to school. So as Deb said, we expect to be at least 50, 60 points below that 5x. 
Deb O'Connor: And, Greg, the one nice thing too is the banks were really supportive on that seasonality and so going forward, we'll have that higher ratio in the first and second quarters for that seasonality that Boris spoke to.
Greg Burns: Okay, great. And then in the North America, with the retail side of business. Where do inventories, channel inventories currently standing? Can you just talk about inventories, channel inventories currently standing. Can you just talk about how that impacts, you gave a little color on how it's going to impact the first half of next year. But you see a stronger selling in the early part of the year next year to replenish those inventories? How does that historically play out?
Boris Elisman: Yes, the inventories right now are pretty low in the channel. It doesn't mean that they will be able to go lower. It all depends on how sell through is and retailers will get a certain number of weeks on hand, depending on what the sell through is. But we expect retailers to be conservative with inventory, all the way through the first half of next year. So this year, as Deb mentioned in the prepared remarks, they bought inventory early because of the supply chain issues to prepare for back to school. We think that's not going to happen next year. We think that given both the economic challenges, and easing of supply chain, they will be more chasing inventory. They will bring in what's only what's necessary, and then try to chase sales with additional purchases in Q3. So we think that and that's what happened in 2021. So we think it's what's likely is retailers will be conservative with inventory in the first half. And then as they sell through in Q3 they will bring more inventory in.
Greg Burns: Okay. And then on the commercial side of North America, how far below pre-pandemic levels, is that business still? And do you think you'd get back to pre-pandemic levels there?
Boris Elisman: Yes, we're about. So if you look at during the pandemic, we lost, let's call it 15% or so on the commercial side. We made up about two thirds of that. So we're down about 5%. And yes, we are clawing our way back and people are going back to offices, and that's driving POS. So they think that we will be able to make it up in 2023.
Greg Burns: Okay, and then just lastly, on powerA. Do you think that businesses fully kind of reset from the pandemic bubble? Or is there additional kind of normalization that needs to happen in North America? And what's the status on your strategy to kind of expand that business globally? The other footprint pulling in place to do that? Or is there more investments that need to be made?
Boris Elisman: Sure. So globally, it's going very well. The business has been growing globally in 2022. And that's both in EMEA and internationally. And we will continue to invest and expand that footprint in the sales growth. But we feel very, very comfortable in our day to do that. In North America, it's still normalizing and my expectation is that we'll continue to do that through Q4 just driven by partially by steel supply chain issues. There is still semiconductor chip shortages that affect people's ability to buy both Xbox series X as well as the PlayStation PS-5s and then also the lack of chips so some of the wires accessories. So that's impacting availability as well normalization of demand people were staying home and playing games. Now they're traveling and going out and playing less games. And I think that's going to be still the case in Q4. But we do expect that to recover and rebound in 2023 and we expect growth in the powerA business in 2023.
Greg Burns: Great. Just to kind of drilling on that growth outlook, is that mostly going to be coming from the rest of the world or North America? Do you think North America can grow to or is that mostly going to be coming from Europe and Asia?
Boris Elisman:  We do expect North America to grow. But growth rates will be much higher in Europe and internationally than it would be North America, but we do expect growth in North America.
Greg Burns: Okay, all right. Thank you.
Boris Elisman: Thanks, Greg.
Operator: Thank you. Our next question comes from Kevin Steinke from Barrington Research. Please go ahead. Your line is now open.
Kevin Steinke: Good morning. 
Boris Elisman: Good morning.
Kevin Steinke: Good morning Boris. Just wanted to start off by asking about gross margin, and you noted that you expect some improvement in 2023 in light of the price increases, you're implementing on January 1, and maybe some cost reductions. But I would assume we should think of gross margin progression. I don't know, fairly gradual and still maybe meaningfully below that 33% target, just trying to get a sense of how much you think can be accomplished. And I know inflation is kind of still the wild curve. But any thoughts on gross margin progression?
Deb O'Connor: Yes. I'm now just started out in a lead board add on, but I think you're exactly right. It's going to be a gradual improvement and expansion and growth margin. And we are still fighting, and we still haven't gotten to the price, the cost differential, as we sit here in the third quarter. So we've got 10%, 11%, inflation, 8%, 9% price. So we're still lagging, and we've got to do the catch up on that. And that's going to take that January price increase to do it. So you're right, it's going to be gradual, it's going to be throughout the year. And I think the 33% is, is a little bit away.
Boris Elisman: Yes. I agree that we're going to be making progress. I'm expecting progress in Q4 and certainly throughout 2023. But I don't think we're going to get fully to that 33% number until after 2023. We're still going to be catching up in 2023. 
Kevin Steinke: Right. Okay. Yes. Makes sense. You mentioned in your prepared comments modifying some contracts to allow for more price increases, maybe sounded like that was fairly isolated to a few customers that are in this. Trying to get a sense as to how broad of an initiative that is and how meaningful that can be in terms of your ability to catch up to inflation maybe a little more quickly. 
Boris Elisman: That's a specific to EMEA. We really couldn't do price increases more than twice a year. And normal environment that's okay. But when you have inflation 14% a year, that's not frequent enough. So our teams are working with customers to modify the contracts to allow us to do more frequent price increases so we can keep up with inflation. And, by the way, it works both ways. It's both increases and decreases. I'm sure nobody will complain about more frequent price decreases, but nevertheless, the interaction allows us to develop. 
Kevin Steinke: Okay, great. Well, thank you for taking the questions.
Deb O'Connor: Thanks Kevin. 
Operator: Thank you. [Operator Instructions] Our next question comes from Hamid Khorsand from BWS Financial.please go ahead. Your line is now open. 
Hamed Khorsand: Hi, good morning. So the first question was, is the lower stocking levels resulting in shorter order intervals from retailers?
Boris Elisman: Meaning more frequent and smaller orders Hamed is that what you mean?
Hamed Khorsand: Yes. 
Deb O'Connor: 0 Yes, it is resulting that. That is correct. 
Hamed Khorsand: Are you able to be efficient in that kind of operating structure? 
Boris Elisman: Well we do have minimum order quantity. So we charge above a certain amount. The outbound freight is included in the price and it's free below certain amount. They have to pay for outbound freight. So there is a built in financial incentive to keep orders at a certain level and what happens in reality is we can go to wholesalers for really small orders because we won't, it's not economical for them to get it from us. So even though there is shifting to more frequent lower dollar orders, there is economic incentive built in not to make it inefficient for us.
Hamed Khorsand: Okay, and how's the product mix changed greatly four years to what retailers won’t to stock, and how does that relate to the inventory you have in your warehouses?
Boris Elisman: It really hasn't changed and their retail is typically stock A and B items and seeing the items they offer on an as needed basis. And that continued to [indiscernible] if I look at over the last, 5, 10 years, certainly the mix has changed [indiscernible] computer accessories and learning products is away from [indiscernible] and organization. But if I look at within this year, kind of individual skews, it's still and these skews being soft and seeing these skews being brought in just in time. What's really driving this break on replenishment is just the economic outlook and retailers becoming very, very conservative with how much inventory they want to stock given that they are forecasting a economic recession.
Hamed Khorsand: Okay, great. Thank you.
Boris Elisman: Thanks Hamed. 
Operator: Thank you. This concludes our Q&A session for today. So I'll hand the call back to Boris Elisman for closing remarks.
Boris Elisman: Thanks, Maxine, and thank you everybody for your interest in ACCO brands. Previously, we have managed well in difficult environments and are confidence in our ability to navigate current economic challenges. We're also confident we have the right strategy and believe we're well-positioned to continue to deliver organic sales growth, compelling market performance and improved financial results as the global economy is recovering. We'll look forward to talking to you in a couple of months to report on our fourth quarter results. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.